Executives: Delia H. Thompson - Senior Vice President of Investor Relations Ian M. Cook - Chairman, Chief Executive Officer and President
Analysts: Nik Modi - RBC Capital Markets, LLC, Research Division Dara W. Mohsenian - Morgan Stanley, Research Division John A. Faucher - JP Morgan Chase & Co, Research Division Wendy Nicholson - Citigroup Inc, Research Division Jason English - Goldman Sachs Group Inc., Research Division Olivia Tong - BofA Merrill Lynch, Research Division Stephen Powers - UBS Investment Bank, Research Division William Schmitz - Deutsche Bank AG, Research Division Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division Caroline S. Levy - CLSA Limited, Research Division William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division Joseph Nicholas Altobello - Raymond James & Associates, Inc., Research Division Lauren R. Lieberman - Barclays Capital, Research Division Eddy Hargreaves - Canaccord Genuity, Research Division Javier Escalante - Consumer Edge Research, LLC Mark S. Astrachan - Stifel, Nicolaus & Company, Incorporated, Research Division
Operator: Good day, everyone, and welcome to today's Colgate-Palmolive Company First Quarter 2015 Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Today's conference will include forward-looking statements. These statements are made on the basis of our views and assumptions as of the first time and are not guarantees of future performance. Actual events or results may differ materially from these statements. So for information about certain factors that could cause such differences, investors should consult our most recent annual report on Form 10-K filed with the Securities and Exchange Commission and available on our website, including the information set forth under the captions Risk Factors and Cautionary Statements on Forward-Looking Statements. This conference will also include a discussion on non-GAAP financial measures, which differ from our results prepared in accordance with GAAP. We will discuss organic sales growth, which is net sales growth, excluding foreign exchange, acquisitions and derivatives. We will also discuss gross profit, gross profit margin, SGA, SG&A as a percentage net -- of net sales, operating profits, operating profit margin, net income and earnings per share on a diluted basis, excluding the impact of items described in the press release. A full reconciliation with the corresponding GAAP measures is included in the press release and is posted in the For Investors section of our website at www.colgatepalmolive.com. Just a reminder, there may be a slight delay before the question-and-answer session begins due to the web simulcast. Now for opening remarks, I'd like to turn the conference over to Senior Vice President and Investor Relations, Bina Thompson. Please go ahead, Bina.
Delia H. Thompson: Thank you, Danny, and good morning, everybody, and welcome to our first quarter 2015 earnings conference call. With me this morning are Ian Cook, Chairman, President and CEO; Dennis Hickey, CFO; Victoria Dolan, Corporate Controller; and Elaine Paik, Treasurer. We're pleased with how this year has started out, with solid organic sales growth and encouraging growth margin improvement despite the major currency headwinds we have been facing. Our business is on track. And as Ian said in this morning's press release, our anticipated full year earnings per share decline reflects a double-digit increase on a currency-neutral basis, of course, excluding restructuring charges. And as you'll hear in more detail shortly, we made very good market share progress across categories and divisions. This is a result of ongoing innovation around the world, supported by a healthy level of advertising. And while our reported advertising was down absolutely versus the year-ago quarter, the 10.6% level as a percent of sales is up meaningfully from the fourth quarter 2014 level of 9.7% and compares to a level in last year's first quarter of 11.1%, the highest for last year. And as we've said on many occasions, it's the combination of this reported advertising and our very impactful in-store activities which drive volume and market share growth. And our efforts in the area of efficiency continued to pay off, with our Funding the Growth initiatives off to a very good start. In fact, it's the strongest first quarter we've had in that area in some time. In addition, our Global Growth and Efficiency Program is on track and delivering the savings we had projected. And as referenced in the press release, our balance sheet is strong. Working capital levels are below last year. So let's turn to the divisions, starting with North America. Our North American business continues to grow. As mentioned in the press release, our year-to-date market share is up in toothpaste and manual toothbrushes. In addition, it's up in mouthwash, body wash, liquid hand soap and fabric conditioner. In the toothpaste whitening category, the February launch of Colgate Optic White Platinum Express White has added incremental share. Our year-to-date share for whitening is 5.8%, which grew to 6.8% in March. Part of our successful integrated marketing campaign included the use of YouTube beauty experts to engage our millennial consumer. Another 2015 toothpaste innovation is Colgate Enamel Health Multi-Protection toothpaste, which includes premium packaging. In the body wash category, our year-to-date share is up over a full point to almost 10%. Our February launches of both Irish Spring Signature For Men and Softsoap Fresh & Glow have contributed to these results. And our liquid hand soap share is at 31.4% year-to-date, with the most recent share at 33.1%, largely driven by the Softsoap Fragrant Foaming Collection. We're also very pleased with our Tom's of Maine business, which is growing very strongly. Innovation as well as increased distribution have played a role. We're getting good traction with our recent launch of a line of baby products. Our in-store execution has been excellent, including a very impactful Earth Day event. And you'll hear about more new products later in the year. So let's turn then to Europe/South Pacific. Momentum is strong across this division, and market shares are growing. Our strong organic volume growth of 5.5% is the highest in almost 5 years. Our year-to-date market share is up in toothpaste, manual toothbrushes, liquid hand soap, shower gel and fabric conditioner. Our year-to-date toothpaste share is at 36.4%, up 40 basis points, with the most recent reading at 37%. Toothpaste innovation this quarter includes Colgate Total Daily Repair. This new product helps reverse early damage for better oral health. It's an everyday multi-benefit toothpaste with proactive repair benefits and is priced at a premium to the base business. In the whitening category, we're launching Colgate Max White for men with powerful stain removal for whiter teeth. And more toothpaste innovation is planned for the second half of this year. Our manual toothbrush share is up 2 full points to 26.9% on a year-to-date basis, with the most recent share at 27.2%. And innovative products such as Colgate 360° and Colgate Slim Soft toothbrushes reported by excellent in-store execution have helped drive these results. The U.K. and Australia had particularly good performance, with year-to-date toothbrush shares up 660 basis points and 240 basis points, respectively, clearly strengthening already robust leadership positions. In the Personal Care category, we're also launching a new men's variance, Palmolive Men Fresh Care. This is a 3-in-1 product, which combines a face, body and hair wash in one convenient package. We told you last quarter about a new line under the Sanex brand, Sanex ADVANCED. This has had excellent trade acceptance and in-store implementation. We expect that share results should follow soon. Our year-to-date fabric conditioner share is up 80 basis points to 27.4%, with the most recent period at 27.7%. This was helped by the launch of Soupline Paradise Sensations, which brings new trends to the fabric conditioner category with its powerful bundle impact and sophisticated fragrances. The pipeline of products moving forward is strong, with the relaunch of Soupline Perfect Glide and Magic Moments, offering easy ironing and superior long-lasting fragrance. The new premium look with outstanding on-shelf impact and a high-performing formula commands a premium price. Turning then to Latin America. Organic sales growth was strong in this region, despite a strong year-ago comparison. And as elsewhere, premium innovation has helped drive results. Our regional toothpaste share is up 150 basis points to 77.7% on a year-to-date basis, with good gains in many countries. In Brazil, we're up 40 basis points year-over-year to 71.7%, while our nearest competitor has seen sequential declines in the last 3 bimonthly share periods. In Mexico, we're up 110 basis points to 80.6% and this despite continued promotional pressure from some of our competitors. In manual toothbrushes, premium offerings such as Colgate 360° and Colgate Slim Soft have contributed to share growth in many countries. In Mexico, our leadership share increased 80 basis points to 43.1% on a year-to-date basis, widening the gap between our nearest competitor to 150 basis points. In Colombia, our year-to-date share increased 30 basis points to 46.7%. In bar soap, the year has started strong, with the division holding market leadership at 30.7%. Both equities, Palmolive and Protex, continued to be the #1 and #2 brands across Latin America. And we achieved record high shares in Mexico, Colombia and Guatemala. Our market-leading fabric conditioner business in Mexico expanded its market share by 50 basis points to 47.2% on a year-to-date basis. Newly launched Suavitel Aroma Intense achieved a 1.4% share in the direct trade in the first quarter. And a new smaller base business size helped compete with low-priced local competitors in the bodega retail environment. Innovation in Latin America continues this quarter across categories. To build on our success in the whitening category, we are launching Luminous White Advanced toothpaste in Brazil. This is Colgate's most advanced whitening toothpaste, which intensifies the white of your teeth 3 shades whiter. Its unique formula contains the same ingredient dentists use, and you can feel it working while you brush. As a companion product, we will offer Colgate 360° Luminous White toothbrush, with stain-erasing cups and a 2x whitening action. In the mid-tier segment and as a companion to our Colgate Maximum Cavity Protection plus Neutrazucar toothpaste, we are relaunching Colgate Zig Zag Maximum Cavity Protection toothbrush. The product has multi-angled bristles and a flexible neck which help with plaque removal. And in the Personal Care category, we have just launched a new line under the Protex brand. Protex Complete 12 body wash, hand soap and bar soap, providing long-lasting antibacterial protection. Turning then to Asia. As you've seen, organic sales performance in this region was somewhat muted this quarter. But going forward, we have a full pipeline of new products to reignite growth. In India, our toothpaste share is up 30 basis points to 54.6% on a year-to-date basis, fueled by the launch of Colgate Active Salt and Colgate Max Fresh. In the Philippines, our toothpaste share increased 120 basis points to 60.9%, with the most recent read at 61.2%. Colgate Maximum Cavity Protection toothpaste has achieved almost a 3% share of that market. Our manual toothbrush shares increased in 5 of 10 countries around the region, with our divisional year-to-date share at 29.9%, down modestly from the year-ago period but still the market leading position. And we continue to grow our mouthwash business. Our regional share is up 30 basis points to 24% on a year-to-date basis. In India, Colgate Plax Active Salt and Colgate Plax Visible White helped drive our market share up 100 basis points to 18.2%, while in the Philippines, Colgate Plax Jasmine Tea was a major driver of a 220 basis point increase to 26.8%, with the most recent read at 27.9%. And in the second quarter, the innovation continues. In toothpaste, we will launch Colgate Sensitive Pro-Relief Repair & Prevent, which repairs the sensitive areas of teeth and with regular use, provides lasting protection to prevent sensitivity from returning. In the base sensitivity line comes Colgate Sensitive with Sensifoam to reach all areas of the teeth. For the Thai market, we're launching Colgate Salt Charcoal. And as you know, charcoal is an attractive ingredient to consumers in this region based on local insights. In manual toothbrushes, we've just introduced Colgate Slim Soft Gold Charcoal toothbrush, with less than 0.01 millimeters slim tip antibacterial bristles for deep but gentle cleaning. And we're extending charcoal to the value portion of our toothbrush business with Colgate Zig Zag Charcoal toothbrush. In personal care in Thailand, we will launch a line of soap, body wash and hand soap, Protex Omega 3, body wash with Omega 3 essential oil and which washes away 99.9% of bacteria while keeping your skin feeling moisturized. Also in that market, we will introduce Protex Intimate Care feminine wash, the bundle now selling in Brazil. Turning to Africa/Eurasia. Organic sales in this region were strong, building on the momentum we saw as we exited 2014. And innovation has driven these good results across categories. Our regional toothpaste share is up 90 basis points year-to-date to 33.7%, with market share increases in virtually every country. Our share in Russia was up 160 basis points; in South Africa, 120 basis points; and in Turkey, 130 basis points. Similarly, our toothbrush share increased everywhere with the exception of East-West Africa. Shares in Russia, South Africa and Turkey increased 170 basis points, 90 basis points and 50 basis points, respectively. Our bar soap share was also up across the region, up 290 basis points year-to-date. In South Africa, our share increased 180 basis points to 32.4%, thanks to the new products we told you about in previous quarters: Protex Men and Protex African Therapy. And more innovation is planned for this quarter. In toothpaste, we will be launching Colgate Optic White Whiten and Restore. The formula with an active mineral complex and fresh mint flavor provides 1 shade whiter teeth in 1 week while helping to restore enamel strength. And the consumer can have the confidence of always being able to look her best without compromising the health of her mouth. In Russia, following on the success of our Altai Herbs bundle, we will be introducing Colgate Plax Forte Oak Bark & Fir mouthwash. Oak Bark & Fir are attractive ingredients to consumers in this part of the world based on local insights. And in the shower gel category, we are adding a new variant to our successful Palmolive Spa Gourmet line, Mint Shake, with an uplifting mint fragrance and rich creamy formula infused with natural mint extracts that leave your skin feeling pampered. To build on our success in bar soaps, we're launching Protex Complete 12, similar to the bundle launching across Latin America. And Hill's. Hill's solid organic sales growth was a good balance between volume and price, both here and overseas. In addition, it's encouraging that gross profit margin is up year-over-year. As you may recall, we indicated this would indeed happen despite initial costs associated with reformulation of new and existing products. And we're pleased that in the U.S. market, retail consumption in the large format retailers is up nicely. Among the drivers are our new premium Hill's Science Diet offerings, which have been supported in-store with impactful displays and are growing faster than the rest of the Hill's Science Diet line. This quarter, we've begun a 10-week turnaround campaign to support Hill's Science Diet Perfect Weight. The objective here is to educate consumers about pet weight loss, creating awareness and buzz around the product to drive trial. Consumer engagement activities will be both in-store and online. Hill's Ideal Balance also continued to perform well. Hill's Ideal Balance Crafted was launched in the first quarter. This new sub-line with its premium positioning offers authentic ingredients prepared with care. A full support campaign has included new product kits and feeding trials along with online ratings and reviews. The packaging and messaging relaunch of our Hill's Prescription Diet line is off to a good start. Here in the U.S., it's received excellent feedback from the profession. The packaging is seen as being more consumer-friendly with increased and clearer descriptive. And this is now rolling out across Europe. So in summary, we're very pleased with the way 2015 has started out. The momentum we saw as we exited 2014 has continued in many regions of the world. Our new product pipeline is full across all categories, and our ongoing savings programs as well as our Global Growth and Efficiency Program are providing funds to support that robust innovation. And as we implement our Global Growth and Efficiency Program, our people are becoming even more focused on winning on the ground each and every day. We look forward to sharing our progress with you as we go forward through the year. And now, Danny, I'd like to open it up for questions.
Operator: [Operator Instructions] We'll take our first question from Nik Modi with RBC Capital Markets.
Nik Modi - RBC Capital Markets, LLC, Research Division: Ian, I was hoping you could just provide us the quick gross margin bridge. And then the broader question is, from a competitive standpoint, just curious if you could just give us a State of the Union on what you're seeing in some of the key markets in terms of some of the competitor activity. Are you seeing a scale back in some promotion -- promotional spend, especially in some of those markets where one of your competitors has really been making a push over the last 2 to 3 years?
Ian M. Cook: Okay, Nik. Happy to do the gross profit walk-through. So if you take our first quarter, the first quarter of 2014, the gross margin was 58.6%. We pick up a positive benefit of pricing at 1 percentage point. Between Funding the Growth and a very modest contribution from restructuring, we pick up another 170 basis points. And as Bina said in her remarks, you can see that, that places us with a far quicker start on our Funding the Growth in 2015 than we had prior year because of the intense focus we have put there. Material prices were a headwind of 230 basis points, and that was almost wholly a transaction impact. There's another 10 basis points of other, and that gets you to the current year of gross profit of 58.9%. We were very pleased with the 30 basis points improvement we had in the first quarter. Indeed, many external views saw our gross profit coming down because of that foreign exchange transaction impact. And we like to think that the balance we're finding between pricing, between Funding the Growth, between Global Growth and Efficiency, driving our innovation and meeting competitive marketplace needs is allowing us to grow the top line while, at the same time, increasing our gross margin. And as we said on the last call, and it remains true for this year, we expect our gross margin to continue to build across the year. And we still plan to expand that gross margin on the year between 50 and 100 basis points. So I think that captures the gross margin approach and thinking from our side. In terms of the marketplaces, I wouldn't say we have seen anything holistically different. We see in pockets increased promotional activity. We see in other pockets increased couponing activity. And we see in other locations, frankly, an easing in the promotional environment. We do see quite a lot of pullback from our principal competitors in media advertising across the first quarter of the year. And I would say our reaction to it is as our reaction has always been, we balance between driving trial for our innovation and meeting promotional needs when they are there, but at the same time, growing and growing our gross margin. And that continues to be our view of the external environment promotionally for the balance of the year.
Operator: And we'll take our next question from Dara Mohsenian.
Dara W. Mohsenian - Morgan Stanley, Research Division: So, Ian, pricing decelerated sequentially on a year-over-year basis in Q1 versus Q4, and I'm just trying to get a sense of what drove that. Are you seeing a more competitive manufacturer environment in terms of promotion as you just talked about? Is it more related to consumer demand elasticity? I guess I would have expected it to build giving greater FX. And then can you talk a little bit about plans in the balance of the year to cover any additional FX pressure?
Ian M. Cook: Yes. We were actually quite pleased with the pricing in the first quarter. You're right. As always, you're balancing your speed of response with what is there in the marketplace and the consumer. We do expect our pricing to build across the year. As you correctly say, we use pricing along with other vehicles to offset that transaction impact of foreign exchange. But I return to the point that I think we're working very hard to maintain that right balance, so we can invest to grow market share and drive the top line while increasing our gross margin. And we feel we started the year in a good place with that 30 margin point expansion, knowing that pricing takes a little bit of time to catch up with the foreign exchange impact. So more pricing across the balance of the year and reiterating the plan to expand our gross margin, again, across the balance of the year to increase by 50 to 100 basis points for the full year.
Operator: We'll take our next question from John Faucher with JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: A little bit of a follow-up on Dara's question, Ian, which is more about the mechanics of pricing and especially when you have this much volatility. And so I guess, how do we look at sort of the time frame that it takes to react to some of this emerging market currency volatility in the transactional FX? Is it something where the pricing goes in relatively quickly? Or do you sort of have to wait for things to stabilize as we look at sort of how to balance, again, some of the wild movements in the currency and whether or not if you price for transactional and then the currency moves in your favor, there's an additional spread that works in your favor?
Ian M. Cook: Yes. It's -- in some situations where the marketplace change is significant and dire, we, along with others, tend to take significant pricing steps very quickly. Russia would be a very clear example. In others, we are more balanced in doing it. If I broaden the discussion a little bit and you think about selling price increases, in fact, our selling price increases in the quarter were between 4% and 5%. Then with some of the activities we have at the store level, we spent some of that back. So you end up with the net pricing number, which is what you see at 2.4% and on balance between the two, still grew gross profit by 30 basis points and kept advertising at a healthy level of 10.6%. So that's what we tend to be juggling with as we balance gross pricing with how we execute in the marketplace. And our responsiveness will be as the market dictates, and our balance between the gross and the effective pricing will reflect also marketplace needs. But again, that balance will see our gross margin expand as the year unfolds by 50 to 100 basis points, which sees us with our traditional advertising up absolutely and as a percent of sales on the year.
Operator: From Citi Research, we have Wendy Nicholson.
Wendy Nicholson - Citigroup Inc, Research Division: My question was on Hill's. And it looks to me that the operating margin is kind of back to close to an all-time high level, which is awesome. But over the last few years, it seems like when margin has crept up, then you soon thereafter lose share, and there's kind of been a trade-off. And I'm wondering, number one, if you can comment on that and whether there's been more structural change so that we really should think that a 27-plus percent operating margin is sustainable for Hill's, combined with an outlook for top line growth. And also, as the Hill's business sort of expands, I know you've entered some new markets like Eastern Europe and Latin America, I assume you're not opening up manufacturing yet in those places. So is there a risk that there is more transactional cost to the business as currencies move and you don't have local manufacturing for that business specifically?
Ian M. Cook: Yes. The Hill's consumption is very strong. And I think all of these are a balance between the value of the consumer believes that they are paying for and the gross margin that, that delivers. So Bina went through much of the innovation that we can so far talk about on the Hill's business thus far this year, and a large part of that is accretive from a gross margin point of view. So we're creating innovation that is margin-accretive that the consumer is attracted to. So you will remember, when we went through the process of turning Hill's around, we said one of the key strategic things we wanted to do was to make the innovation flow in Hill's sustainable, not episodic. And we have that now. So yes, we do believe, and it was part of our plan when we made the investment in gross margin, that we would return to historical levels. Now from a local country expansion point of view, we're not in any new markets compared to the emerging markets that we had already been in, like Russia, like Brazil, like Mexico, those types of marketplace. And indeed, we do have a transaction burden because we don't make Hill's products in Russia, for example. But all of that is based into our business plan. We make the same pricing adjustments to address the transaction impact on Hill's as we do for the Colgate business. And maybe strategically down the road one day, if we were to invest in capacity, of course, that would give us further margin improvement on those businesses. The other comment I would make is we are finding with Hill's and our engagement with the Hill's consumer that the emotional connection is so rich that you can engage with that consumer through digital vehicles almost entirely because they will spend extraordinarily (sic) [extraordinary] time finding out information, and they will spend extraordinary time with Hill's representatives to take care of their pets. So with that business, in particular, we're building a very efficient model of targeting and reaching the consumer given the emotional investment they have in the category of the brand and, of course, their pet. So long story short, we think it's sustainable.
Operator: From Goldman Sachs, we have Jason English.
Jason English - Goldman Sachs Group Inc., Research Division: I'm looking at Asia, Africa/Eurasia combined. Sort of what you used to report as Greater Asia and Africa. And the organic sales growth blended of 2 1 [ph] is the weakest we've seen since the third quarter of 2014. And it looks like it's really coming on softness in Asia. I noticed in the press release you referenced to volume declines in China. And I think last quarter, you said the destock was behind you. So I was hoping you could just drill a little bit deeper into what's happening in the Asia segment, why price sort of rolled negative, why volume is still relatively soft and, more specifically, what's happening in China.
Ian M. Cook: Yes. Fair questions, Jason. And obviously, your math is correct. And indeed, the country that bears comment is China. And so let me make a few remarks around China because that really is the country, the geography to discuss. I think the first thing to say is that you will remember, we were one of the first to recognize that trade destocking was occurring in the second quarter last year. And we said that destocking process would be completed by the end of 2014, and the trade inventories would be back to balance. And that has happened. The inventory destocking is completed in China. If you look at our consumption in China, which is to say, the consumer's purchases of our products, our quarter 1 consumption was up a healthy mid-single digits, in line with the marketplace. Our January, February market share was up meaningfully from the fourth quarter of 2014 when the destocking ended. And indeed, our local sales in China for the first quarter were up behind that strong consumption, meaningfully, fourth quarter to first quarter. Now the comparison with the first quarter of 2014 is down due to the comparison with what was our highest quarter in 2014, which, again, you will remember was the quarter before the down-stocking occurred. So what I'm saying is our consumption is leading our sales back up. Our market share and that consumption predict continued growth in sales. And I think most importantly, the second quarter in China is off to a brisk start. So consumption is good and that future growth for that business will continue to build.
Operator: We have Olivia Tong with Bank of America Merrill Lynch.
Olivia Tong - BofA Merrill Lynch, Research Division: First question is just on pricing in North America. It was up for the first time in probably about 2 years. So is the couponing starting to lap? Is competition improving? And then also specifically on pricing in Brazil. Is -- are you planning to raise prices? And I ask in the context of Brazil volume having declined in the March quarter. And then finally on the organic sales outlook for the full year. With the first quarter sort of at the low end of your longer-term outlook in the sort of 4% to 7% range, can you just talk through that a little bit?
Ian M. Cook: Yes. Well, in the U.S., obviously, we were pleased with the pricing pickup in the first quarter. And yes, I would say there has been some modulation in the promotion activity. And indeed, you will remember, the first quarter for us last year was the quarter in which we had launched many, many of our new products. And of course, the couponing behind the trial for those new products would have been in the first quarter of 2014. So there's a timing aspect to that as well. We have, indeed, taken pricing in Brazil. But I would comment on Brazil that it is a different story to China and that the marketplace economic activity and, indeed, our categories worsened since the last time we spoke in January. I don't think that's new news to everyone. It has been widely reported. Pleasingly, as Bina said, our market share, approaching 72%, is up year-on-year. In fact, when I was down there 2 weeks ago, the General Manager said with great pride that it was the highest market share in 19 years. But who's looking? And so our shares continue to be strong, i.e. we're growing faster than the market growth. And as you would imagine, given our experience in Latin America, we're doing a very, shall we say, attentive job of managing our cost structure. But I think it's fair to say that we should expect, and indeed, we are planning for, a slower Brazil marketplace for the balance of this year. Now the organic growth outcome, I think you can do your own math. We provided a range of 4% to 7% because of the choppiness and volatility in our world. And if -- to put that in comparison, that 4% is up against the highest quarter of last year at 6.5%. So the compares ease a little bit as we go forward. And if the China growth returns the way we expect it to, it will clearly move us up that range. So we're still comfortable with the 4% to 7% range, and we'll see how it unfolds quarter-by-quarter.
Operator: And we'll take Steve Powers from UBS.
Stephen Powers - UBS Investment Bank, Research Division: So I think previously -- this is a little bit of housekeeping maybe. But I think you had called out FX as a 7%, 7.5% headwind to the top line for the year a few months ago and a 10% headwind on the bottom line from a translation standpoint. And I apologize if I missed it, but could you just call out specifically how that's evolved as you see it? Because I'm wondering if the effective 2- to 4-point reduction in all-in EPS is 100% FX versus other factors on the margin like Brazil, which you mentioned. And if I could squeeze in a related follow-up. What would trigger -- on FX, what would trigger a move to the SIMADI rate in Venezuela for you? And how incrementally impactful would you expect it to be on kind of a pro forma 12-month basis? Because it just feels like it's essentially a matter of time before that needs to happen.
Ian M. Cook: Yes. Well, to take the second point which is housekeeping, you will find that broken out in our Q. So we actually provide the calculation where they're a requirement that we do that, which is to say what would the impact on the business be if we were required to go to the SIMADI rate. The foreign exchange impact on the year is around 10%, more or less. It is more on the bottom line as it was in the first quarter. I think top to bottom was 10% and 14% on the first quarter. So it's about a 10% impact on the year. There are no other factors affecting our guidance other than, and I stress, the translation impact of foreign exchange because as you know well, we seek to cover the transaction impact because that is what leads to operating results.
Operator: And we'll take Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Can you talk about the growth opportunity in Home Care and Personal Care? Only because like Oral Care is sort of indisputable given your market shares. But it seems like in those categories, there's a lot more local competition and commodities are rolling over. I look at some of the data, I'm not sure the syndicated data is great, but like you look at Home Care in Venezuela, and it was like the business in bolivars was up sort of 50% year-over-year in 2014 versus '13. So I'm just wondering what you think of the outlook there to have that continue to grow and then maybe it's an opportunity because people are exiting the market. So maybe I'm looking at it the wrong way. And since you guys are the last guys standing, maybe it's better than I would have otherwise thought. So any thoughts would be appreciated.
Ian M. Cook: Yes. Well, I don't like being categorized as the last guy standing. And Venezuela is a unique case. So I don't know what data you're seeing, Bill, but our Home Care business is not a focus for us in Venezuela. And indeed, material availability is modest in that business. I think as you heard Bina talk, we're quite pleased with our Home Care and our Personal Care business. Yes, there are more competitors in Personal Care than we find in Oral Care. But if you take Personal Care against the company, Personal Care organic grew around 3% in the first quarter, quite healthy growth. And more competitors means the marketplace is more fragmented, and therefore, you can garner progress because there are simply more players in the space. And I think some of the examples Bina quoted are very good examples of where we're doing precisely that in emerging markets as well as developed markets. So no, we still think there is opportunity for growth in those categories, and we're going after it.
Operator: We'll take Ali Dibadj with Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Just a quick clarification. I just missed something and then to the core question here. I apologize. So you said FX will be a 10% impact on the bottom line. But in the...
Ian M. Cook: No, on the top line.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: On the top line. Okay, fine. Sorry. I missed that. Okay. If you go to kind of the pricing and dig down a little bit further in kind of 2 buckets, one is Asia at negative 1% and then Europe, negative 4.5%, how do you think that goes going forward? So do you think that kind of negative pressure will continue on those marketplaces where it's going down? And then on where the pricing has been driving your overall pricing, so Latin America and Africa/Eurasia, both in kind of 7.5%, 8% range. Both of those, as you comment, are driven by highly inflationary areas. So Venezuela, as an example, in Latin America, call it, 50% or 60% inflation, it's 3% of your business, overall, 10% of that region, Africa/Eurasia, Russia, obviously, the driver there or one of the potential drivers there. And thereto, what do you think the sustainability is of that? And if you were to pull out Venezuela and Russia in those pricings, what would it be? Sustainably both of the negative, so the bad stuff and then potentially the good stuff on pricing.
Ian M. Cook: Wow. Where to start? The -- if we take pricing overall, and you may have missed the response we gave a little bit earlier, we continue to believe we have pricing power. And therefore, the growth pricing we've been able to take is around 4.5%. And we have reinvested some of that in the trade spending activity to grow market share, which, along with the traditional advertising we have invested, have continued to be productive. We are growing market shares broadly, and we are seeing our gross margin expand. We think in terms of the pricing in Africa/Eurasia and Latin America that, that is sustainable. We're not, again, going to talk about Venezuela specifically other than to say when we got pricing in the fourth quarter of last year, so did many of our competitors. And regardless of what the inflation is in a country, in Venezuela's case, pricing is controlled by the government. So we don't have the flexibility to follow the inflation with self-directed pricing in Venezuela. So Venezuela is all rollover in 2015. I would also say that we have very broad-based pricing increases across all of Latin America. You forgot Hill's, where I think we've got a very good balance between effective pricing and volume growth on that business and beginning to see the gross margin build back nicely, which was clearly one of our objectives. The U.S., North America pricing possibility, that will always be a bit choppy, given the timing of couponing behind new products and the fact that couponing goes into price. And I think there will continue to be pricing pressure in Europe, but our expectation is that it will ease over the balance of the year compared to the first quarter level. Now in Asia, specific to China, we made some corrective pricing actions on a couple of our businesses, which are now baked in for the full year. I think that was responding to all the questions you asked, Ali, at least I hope so.
Operator: And we'll take our next question from Caroline Levy with CLSA.
Caroline S. Levy - CLSA Limited, Research Division: And forgive me if you've touched on this. There's a lot of stuff here. But advertising growth for the full year, do you expect the actual recorded number to be up in local currency and in dollars would be the first thing. And then just on China, there's been a move to premiumization in many categories, and toothpaste is one of them. The local toothpaste I think is a premium product. Are you doing anything -- I know your Darlie brand is very successful, but within the Colgate brand, are you doing things to premiumize and try to take advantage of that?
Ian M. Cook: Yes. Yes, we are. I mean, on the advertising side, when we look at advertising spending for the year, we see, on a ratio basis, an increase year-on-year. In local currency terms, it will certainly be up. It will certainly be up. The -- from a China point of view, you're absolutely right. There is a fair degree of premiumization going on in China, and we indeed are taking advantage of that. When you put China in a longer context, over the last 8 years, we built our China business from about a 29 share to a market-leading 33, 34 share, 34 share January, February this year. If you look at our principal multinational competitor, they've gone from 25, down to under 15. And the other multinational competitor has gone down from mid-teens to high single digits. And that premium local brand you mentioned is what is taking up the slack. So we're continuing to hold market position quite nicely. And indeed, we are adopting a premiumization strategy.
Operator: And we'll take our next question from Bill Chappell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Ian, you alluded to kind of the pullback in marketing from the competition earlier. And there's been some talk about your largest competitor meaningfully pulling back on kind of media spend over the next few months or few quarters. How do you look at that? Is that some -- an opportunity to keep the foot on the pedal? Or is there just too much marketing and advertising out there? Maybe everybody can benefit a little bit.
Ian M. Cook: The -- I would say when we think about our -- I'm now talking the traditional advertising media. I would say that our focus is more on what is necessary to reach, engage and convince our consumers to stay with our brands from an emotional point of view and to try our innovation. That's the purpose. And that dictates a certain reach and frequency for your traditional media. These days, it also requires a mix between the traditional and the digital and other ways of connecting with people. If some of these pullbacks continue to be as we have seen them, maybe it does create a little bit more of a rational opportunity in some markets. But we'll track that for a while before we make any significant changes.
Operator: From Raymond James, we have Joe Altobello.
Joseph Nicholas Altobello - Raymond James & Associates, Inc., Research Division: Two quick questions on SG&A. I guess, first, in terms of overhead, a little surprised it was up this quarter. Was that all FX-driven? And then secondly, if you could remind us what you're expecting in terms of total restructuring savings this year.
Ian M. Cook: Yes. The -- you're right on the overhead, Joe. In fact, total dollar expenses were down. So the reason the ratio is up is a combination of timing and dollar-denominated expenses against a weakening foreign exchange-driven top line. As to your second point, I think we have in our K -- I think we're talking 65 to 75 after-tax for the year -- sorry, that was the restructuring.
Operator: And we have Lauren Lieberman with Barclays.
Lauren R. Lieberman - Barclays Capital, Research Division: I feel like most of this has actually been covered. So I'm just going to leave it alone and let you proceed to the next person.
Operator: We'll go ahead and move on to Eddy Hargreaves with Canaccord.
Eddy Hargreaves - Canaccord Genuity, Research Division: Two questions, actually. Sorry to harp on about the advertising spend.
Ian M. Cook: Harp away, harp away.
Eddy Hargreaves - Canaccord Genuity, Research Division: You answered the last person who asked you this in terms of ratios, but I think what you were saying, implying that you think that worldwide advertising investment will be up for the full year in absolute terms, just is down 10% to $430 million in the quarter. If that's right, I'm slightly surprised because it implies quite a step-up in the next 3 quarters, given your overall sort of commentary about the media environment. Perhaps you could square that circle somewhat.
Ian M. Cook: Maybe I misspoke. Let me answer the first one first and then you can ask the second one so we don't lose the point. It will be up in local currency, on a currency-neutral basis. And it will be up on a ratio basis. The dollars will be broadly in line, maybe modestly down, year-on-year. And your second question?
Eddy Hargreaves - Canaccord Genuity, Research Division: Okay. Yes. And the other one was, there's been some sort of comment earlier on in the questioning about the North American pricing looking a bit better. You obviously said that it tends to be choppy. But if we look at the overall organic performance top line in North America, it looks as weak as it's been for quite a few quarters sort of looking back across the spreadsheet as it were. Perhaps you could sort of give some sense of how you see the North American consumer environment generally, given potential oil price-based benefits to consumers, that type of thing. Are you fairly confident that the environment will look better in H2 than H1, for example?
Ian M. Cook: Who knows? I mean, the first quarter economic numbers were just revised down. I think there is an underlying confidence that the U.S. economy is on the turn, but I think it's a slow turn. Frankly, our consumption in the U.S. is ahead of the consolidated growth in the categories we're in, that U.S. category growth is between 1% and 2%. We're slap-banging that. And as Bina commented in her remarks, our market shares are up in North America. So we're quite pleased with that. And we will be poised to take advantage of the growth should it accelerate because we have a rich array of innovation to bring to the marketplace.
Operator: And we'll take our next question from Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research, LLC: My question actually has to do with Brazil. Is it that -- we heard from your competitors, L'Oréal, Unilever, that category growth was flat in terms of volume. But your volumes are actually down. And then you're telling us that you're gaining share. So then the question is, is it that the calculation has to do because people are trading down within Colgate's portfolio and that's why you are getting negative volumes. Or is it that at the end of the day, you are overrepresented in channels that are losing market share, say, large format retailers and that's how we reconcile the fact that you have strong shares, but actually, your volumes are negative, which your competitors are not posting negative volumes?
Ian M. Cook: The -- I guess all these countries have to be a balance between volume and price, given the transaction impact of the foreign exchange. So in Brazil, we took pricing and we took pricing against volume, to your point, to establish the pricing in the marketplace. At the same time, because of the economic decline, several of the categories did go negative in volume terms. So not all the categories were positive from a volume point of view. The other thing one has to say, and I spent 3 days down there not so long ago, is there is quite a bit of short-term disruption in the marketplace. The economy slows down. You have the various scandals unfolding day after day. Interest rates go up. And what happens is the indirect retailers take a step back and wait to see how everything is going to settle out. So there is an added element, I would say, of short-term hesitation in terms of the way the market would normally line up. But as I said earlier, our focus is going to be on growing market share, controlling our costs, expanding gross margin and weathering what we believe will be a slower Brazil environment for the balance of this year.
Operator: And we'll move on to our next question from Mark Astrachan with Stifel.
Mark S. Astrachan - Stifel, Nicolaus & Company, Incorporated, Research Division: So two questions. One, just wanted to get an update on the Tom's of Maine expansion and sort of your thoughts thus far, bigger opportunity, smaller opportunity than maybe you had thought originally. And then housekeeping, is there any impact on cash usage, CapEx, share repo, dividend, et cetera, from FX?
Ian M. Cook: The Tom's business is doing very well. The first quarter organic growth was up double digits. We have, as you know, an extremely strong position in Oral Care toothpaste in the United States, over 50 market share in the channels that are unique to Tom's. And that's why, as Bina said, we have taken the opportunity now that we have consolidated our position in toothpaste to extend the Tom's name into the baby skin health space, which we think will be a big opportunity for Tom's going forward. As I have said before, this is not a marketing accelerated business. You have to win consumers one at a time and be patient. But once they are Tom's consumers, they're Tom's consumers forever. And they almost pledge allegiance to the brand, which we may have them do one day. In terms of cash usage, no major change in CapEx or repurchase. No major change. So listen, I understand those are all the questions on the line. I thank you very much for your interest in the company. And as always, I thank Colgate people around the world for making it all happen. Talk to you next time.
Operator: Ladies and gentlemen, that does conclude today's presentation. We appreciate everyone's participation.